Operator: Thank you for standing by. Welcome to Badger Infrastructure Solutions Ltd. 2023 Third Quarter Results. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator instructions] Please be advised that today's conference is being recorded. I would like now to turn the conference over to Lisa Olarte, Director of Investor Relations. Please go ahead.
Lisa Olarte: Good morning, everyone, and welcome to our third quarter 2023 earnings call. My name is Lisa Olarte, Badger's Director of Investor Relations. Joining me on the call this morning is Badger's President and CEO, Rob Blackadar; and our CFO, Rob Dawson. Badger's 2023 third quarter earnings release, MD&A and financial statements, were released after market closed yesterday and are available on the Investors section of Badger's website and on SEDAR. We are required to note that, some of the statements made today may contain forward-looking information. In fact, all statements made today, which are not statements of historical fact are considered to be forward-looking statements. We make these forward-looking statements based on certain assumptions that we consider to be reasonable. However, forward-looking statements are always subject to certain risks and uncertainties, and undue reliance should not be placed on them, as actual results may differ materially from those expressed or implied. For more information about material assumptions, risks and uncertainties that may be relevant, to such forward-looking statements, please refer to Badger's 2022 MD&A along with the 2022 AIF. I will now turn the call over to Rob Blackadar. Rob?
Rob Blackadar: Thanks, Lisa. Good morning, everyone, and thank you for joining our third quarter earnings call. Before we get into the results, at Badger, we'd like to start all of our meetings with a safety share. Our company's making safety personal campaign means using all the tools in our safety management system to not only identify and control risk, but whenever possible, remove and mitigate those risks. We use tools like our Lytx system, our Stop Work authority and our mentorship programs every day to help us manage risk, both on the job and in the business. At Badger, we invest in the right tools to help our people be successful every day. Now on to the results. As you saw in our third quarter release yesterday, the team continues to raise the bar, as evidenced by our record revenues, record gross profit and record adjusted EBITDA. We are very pleased with our top line growth of $195.6 million, which was 20% higher than last year, driven by our commercial strategy rolled out last year and the impact of our recent focus on our pricing strategies. Importantly, we continue to see our adjusted EBITDA growing, up 49% in the third quarter year-over-year, which is 2.5 times the 20% growth in revenue. Our adjusted EBITDA margin was 26.9%, the highest we have achieved in three years. We continue to be encouraged by the trends in our end markets that, are supporting solid customer demand. Revenue per truck per month or RPT was just over 49,000, up 5% from last year due to Badger's continued commitment, to optimize fleet utilization and pricing. Our Red Deer plant manufactured 57 nondestructive excavation units in the quarter versus 29 units in Q3 of 2022, with a total of 169 year-to-date. We retired 18 units in the quarter and 56 year-to-date. We ended the quarter with 1,514 nondestructive excavation units, compared to 1,387 at the end of 2022. As we are closing in on the end of the year, we are planning to produce close to the midpoint of our range, of between 200 to 230 units. We are planning, to retire between 75 to 85 units at the lower end, of our previously provided range of 80 to 100 units. As we have previously discussed, we've begun refurbishing select units, by replacing key components, to extend the useful life of these units by five years and increase the company's return on invested capital. We are very pleased with the finished results, of the initial completed units that, we have rolled back into our operations so far. Since the start of the program, we have experienced some vendor delays and as a result, we are now expecting to fully complete between 15 and 20 units, by the end of the year. Going forward, we have a plan in place to mitigate these delays after the turn of the year. We continue to believe this program contributes to improving our return on invested capital and will help, to level out our retirements, over the next few years. I will now turn the call over to Rob Dawson, to discuss our financial results in more detail. Rob?
Rob Dawson: Thanks, Rob. As you saw in our results, our team again delivered strong results, which were consistent with our expectations and keep us on track to have a solid finish to the year. As Rob mentioned, we had another record revenue quarter, up 20% from last year driven by our U.S. operations, which were up 25%. We experienced a slowdown in our Canadian markets, driven by a few large projects wrapping up. The team has secured a number of large projects to replace these in the upcoming months. We continue to see record gross profits, reflecting the operating leverage gained from our pricing strategies, and our commitment to drive operational efficiency, to achieve improved margins while partially offsetting inflation. We continue to be encouraged by the trend in our adjusted EBITDA margins, which improved close to 27% for the quarter and 22.7% year-to-date. Our trailing 12-month adjusted EBITDA margins, continue to increase sequentially, demonstrating our commitment to providing sustainable growing margins and the scalability, from strategic investments in our operational support functions. Our annualized G&A expenses held steady between $35 million to $40 million, and we expect this level to be sufficient to support our growth trends. Earnings per share was a record this quarter at $0.68 per share, an increase of 60% over last year, notably 10 points higher than our increase in adjusted EBITDA. Now on to the balance sheet. Our capital allocation priorities are unchanged. We continue to maintain a strong, flexible balance sheet to support our organic growth and commercial strategy. Our compliance leverage was at 1.4 times debt to EBITDA, down from two times a year ago and the 1.6 times we posted at the end of June 2023. During the quarter, we extended our credit facility to restore a five-year term, providing us with in excess of $150 million in liquidity and the financial flexibility to fund both near and long-term growth and complementary capital allocation decisions. Our receivables portfolio remains strong with over 90% aged below 90 days and with over 90%, of our customers having investment-grade characteristics. We are continuing to monitor our receivables portfolio, amidst the inflationary higher interest and credit environment in both Canada, and the United States. I will now turn things back over to Rob Blackadar for some final comments. Rob?
Rob Blackadar: Thanks, Rob. So before we open it up for questions, I want to add a few last thoughts. We've seen positive results in our first full year operating on our renewed commercial strategy. We are very pleased with the initial results from the first full quarter with the adoption of our pricing and quoting engine, and its effect on our top line growth and our margins. Badger's long-term growth prospects remain unchanged. We continue to believe Badger is uniquely positioned, to capitalize on the significant opportunity for nondestructive excavation services in key end markets particularly in the United States. Finally, I want to take the opportunity to thank Glen Roane for his partnership and support during my tenure with Badger and my transition to President and CEO. We announced last evening in a separate press release that as part of our normal core sport succession process, Glen will not stand for reelection to the Badger Board of Directors at our next AGM. We further announced that Steve Jones, our Board member since 2021 will become the Chair of our Board of Directors. Steve's transition to this role will take place over the coming months. Steve brings a significant amount of relevant experience to Badger, having served as the President and CEO of Covanta Holding Corporation and prior to that, having a long and successful tenure with Air Products including several years as General Counsel. I am personally looking forward to working alongside Steve, to continue to drive Badger's strategic initiatives while adding value for our shareholders. We also wish Glen all the best in his upcoming retirement. So with those comments, let's turn the call back to the operator, so we can open it up for Q&A. Michelle?
Operator: Thank you. [Operator Instructions] The first question comes from Yuri Lynk with Canaccord. Your line is open.
Yuri Lynk: Hi. Good morning, guys.
Rob Blackadar: Good morning, Yuri.
Yuri Lynk: Good morning, Rob. Nice quarter. Just wondering how we think about the price increases that you started to implement late in Q2. Did we see the full impact of those in the quarter, or have you only been able to push it through, to a certain proportion of your customers?
Rob Blackadar: Yes. So we - today, if you remember, we - I think it was in the previous announcement where we talked about. We started our new pricing engine at the beginning of June. So - and we started to see good progress on our pricing, and a lot of that pricing opportunity that, we've been able to capture so far, has been with some of our spot, or local type pricing. And we're seeing good progress in that. We're very happy with early indications. Originally, if you remember, Yuri, back at the Investor Day at the end of Q3 last year, we ended up talking about the national accounts program, and how those contracts are two to three years in nature and getting pricing increases as they renew. And we've actually had good success with that. But again, that's over the course of two to three years. So, we've already started to see some benefit of that throughout the year this year and certainly in Q3. The last kind of tranche of customers, or customers that are local - large local to regional in nature that have some local type pricing agreements that typically, are 12 to 18 months in nature. And as those cycles similar to the national accounts programs, we're reviewing the pricing on those as well. So, it's all starting to click and work, but it's obviously a journey very few businesses, are able to get all their pricing all at once immediately. With the new pricing engine, it takes a little time, but we're very pleased with what we're seeing so far.
Yuri Lynk: Okay. And the 5% year-on-year increase in RPT that, would be mostly attributable to pricing, correct? Because I think there was a comment in there that utilization was stable?
Rob Blackadar: I would say pricing definitely contributed to the improvement on the RPT, but be mindful, we obviously have been adding a lot of trucks into the fleet, and utilization holding very solid, because of the demand out in the markets. And then the upside of that. So holding that much pricing with the RPT and the number of RPT alongside of all the additional trucks really speaks to the demand out in the markets, because our utilization holding steady, while we're able to increase price with several additional trucks and that's, a pretty good accomplishment.
Yuri Lynk: Yes. Agreed. Okay. Second and last one from me. You've been generally targeting retirements of 100 to 150 a year. Why are you taking down the planned retirements down to about 80 trucks this year? What's the logic behind that?
Rob Blackadar: Well, a handful of things. The first is, we just have demand out in the marketplace. And as we have the demand instead of getting rid of trucks that we could actually make revenue with and the trucks, are functioning and they're fine. We're starting to reevaluate and say, do we need to cycle out trucks at the exact 10-year point. So when they hit 10 years and one day, the truck leaves the fleet. And we're actually realizing that we might actually have more life into the trucks, and we definitely don't want to be getting rid of assets that, otherwise are functioning fine, and we have domain, and we can make revenue off of them. And so that's the main reason, why we've lowered down the retirement number, because of the demand out in the marketplace. Secondarily is, as I was suggesting, the trucks themselves, we're starting to realize. And I shared this about a year ago, but we started looking at the number of hours on the trucks, and they - were actually down versus the previous 10-year cycle, because COVID, for about 18 months, the company's business was much slower, and we didn't put as many hours on the trucks. So, we actually think we have a little bit more life in the assets. And then lastly, we're using some of the trucks for that refurbishment. And you saw the numbers on the refurbishment, but we have several that are in cycle in the system, to be refurbished and that also helps to draw down on the retirement number. Anything you'd add on that, Rob or...
Rob Dawson: No, I think that's - the final thing I would add is, as our geographic mix moves to less harsh climates, and soil conditions, depending on the region can be less harsh than they typically would have been historically. So, I think the entire sort of useful life of a truck and the retirement program, is in the middle, I think, of being modestly reevaluated.
Yuri Lynk: Got it. Make sense. Okay guys. Thanks.
Rob Blackadar: Thanks, Yuri.
Operator: Please standby for the next question. The next question comes from Michael Doumet with Scotiabank. Your line is open.
Michael Doumet: Hi. Good morning, guys.
Rob Blackadar: Hi, Michael.
Michael Doumet: Hi. So maybe to follow up on just general CapEx expectations. But looking more into 2024 and 2025, based on my math, it looks like there are about 100 trucks that are over 10 years old today. And I think, if I do the math on a similar level of retirement or refurb cadence into next year, you'll have approximately 200 trucks above these or 10 years. So just thinking about your ability to smooth out retirements without necessarily overextending, and maybe how we should think about retirements next year?
Rob Blackadar: Yes. So, we obviously don't give truck build guidance, retirement guidance or really even guidance on trucks, we just give basically our forecasted build rate retirement rate. But - and we have been in the middle of our budget and business plan cycle and working with the Board of Directors on that. We're not quite complete and having wrapped all that up. So, we're not ready to start having a broad discussion, Michael, the normal time that we share that is at the Q4 release. And as soon as we have it, obviously, we'll share it. A general rule of thumb, though, and I can just tell you directionally, and I feel comfortable sharing that with you, Michael, is our end markets are strong. And we feel like, we definitely have the demand for the trucks and comfortable that, we do not foresee that those markets slowing down in 2024 at this point. So, I don't know if you want to add something, Rob?
Rob Dawson: Yes. I think given the number you had there, Michael, 200 units, I think it is fair to say that for all the reasons Rob pointed out, for retirements generally being a review of our fleet, why our retirements number is a little lower this year. We're spending a fair bit of time evaluating that, over the next several years in connection with both our required builds, and then the refurbishment program. I think it's fair to say that generally, and we will have more, to say about this once our analysis is complete, and we've got a little more data to go on. I think generally, the level of retirements are going to be relatively stable with - and that the level of build as much as possible, to sustain our growth that Rob just mentioned, with our end market demand remaining quite robust. Again, will be relatively stable with the aim of keeping our manufacturing operations in Red Deer on a stable and efficient as possible with - and as you know, in a manufacturing operation when you - have volatility in your throughput, you have a lot of volatility in your cost to manage. And so going forward, I think that, that sort of wave of retirement, is something that we think is going, to be far more stable and repeatable going forward. More to come on that.
Michael Doumet: Okay. That's really helpful color, and I appreciate it. Maybe just quickly follow-up, just in terms of the trucks that are getting older. Are you finding it that there is more repair and maintenance costs associated with running those trucks? Or going back to Rob, to some of your comments about running fewer hours through COVID that, that necessarily isn't the case?
Rob Blackadar: So what's interesting, Michael, and I've heard a lot of historical discussions about as the fleets really as the Badger units as the hydrovac started to age out beyond 10 years, the M&R would really start to go up in a dramatic fashion. And we're actually not seeing any big spikes in our M&R. We certainly have normal course M&R. But the one thing that's happened, and it happened with a new fleet leader we brought in around two years ago as he really worked with the entire fleet team and all the branches in our regions to really get Uber focused on preventative maintenance. And so, if we're doing anything, we are being a lot more prescriptive and aggressive on the PM side to prevent having these major failures in catastrophic engines and transmission failures, as the trucks have are starting to age out. So, because of that, our M&R is actually really smooth right now. And - but I'll share - and I've shared with - at a few conferences that Rob and I have been fortunate enough to present at that, we have a new fleet data system that we're rolling out. And at this point, it looks like it's going to be fully kind of implemented enrolling middle of next year. Obviously, it's rolling earlier than that, but fully integrated and everything at the midpoint of next year. And those data metrics, Michael, we actually believe will allow us to be even more efficient with the fleet. And so, we're going to be able to identify here are the trends and identify where we should be being even more aggressive on PM, or if there's any kind of catastrophic failures. And start to figure out what the root cause is, and we're pretty excited about that. We say all the time amongst the management team now and with the Board of Directors that, we like to make data-driven decisions, and this will allow us to do a lot more on the fleet. So very excited about that.
Michael Doumet: Interesting. Thanks a lot guys.
Rob Blackadar: Thanks.
Operator: Please standby for the next question. The next question comes from Krista Friesen with CIBC. Your line is open.
Krista Friesen: Hi. Thanks for taking my question. And congrats on the quarter. I was just wondering if you could dive in a bit more on - I mean it was a pretty good margin that you posted this quarter. And just kind of what the moving parts were there, and what you attribute that improvement to, whether it's more on the pricing, or new strategies and a bit on the cost side as well. Just if you can give us some more detail? Thank you.
Rob Dawson: Good morning, Krista. It's Rob Dawson here. I could say it's predominantly due to two things. As you mentioned, pricing obviously has a very positive impact on margins, because it's cost-free other than some additional commission. But also, it's not necessarily that we're cutting costs or we have a program, to go through and hold back on costs. But what we do have, and we've talked about this quite a bit as we've made a pretty significant investment in our functional support groups, like fleet, as Rob had mentioned, sales and marketing IT, over the last several years. And so, we have - those functions focused on creating scalability in those functions, such that there's a pretty decent fixed cost element to those. So as revenue rises, that operating leverage that, that creates is going to increase EBITDA margins by higher than the percentage increase in revenue. And you would have seen with a 50% increase in the EBITDA margin this last quarter, over a 20% increase in revenue. That's after price, that's by far the second biggest impact. And that's something that degree of operating leverage, we think, will be a bit outsized as we get into higher EBITDA margins as we've talked about in the past.
Krista Friesen: Great. Thanks. And then maybe just on the refurbishment and you mentioned there's the vendor delays, which I think you hope to have that fixed by next year. Do those vendor delays also impact any of your just normal production, or is that just refurbishment?
Rob Blackadar: That just on the refurbishments, Krista, it's mainly tied to when we launched the refurbishment program, we really spread out some of the refurbishment work, to several shops across the U.S. and a couple in Canada. And the delays are really tied to some of the major componentry. So, I think everyone is aware, but the main focus of the refurbishment is the engine, the transmission, the T case or transfer case. And then the blowers, the big device in the back that actually does the suction for the truck. Those four components, we have pretty good access to the blowers, because we obviously put together the trucks today, but the transfer cases, transmissions and the engines or where we've seen some of the delays. And what we're doing to kind of mitigate that going forward, Krista, is prepositioning some of those assets tied to what we're building into our plan for next year on the number of refurbishments. In that way, there just won't be a delay next year, because all they - that componentry will be waiting on the trucks to come in. It's a lot more efficient. It's the same concept as we do in our manufacturing plant. And we're now bringing that same level of logic to this refurbishment program at some outside shops. And it's kind of pretty cool to see all the successes we're having in our manufacturing plant, being able to translate into other areas of the business. So it's pretty cool.
Krista Friesen: Great. Thanks. I'll jump in the queue.
Rob Blackadar: Thanks, Krista.
Operator: [Operator Instructions] Please standby for the next question. The next question comes from Ian Gillies with Stifel. Your line is open.
Ian Gillies: Good morning, everyone.
Rob Blackadar: Good morning, Ian.
Ian Gillies: Given the discrepancy and performance between the U.S. and Canada at current, do you have any intention, or have you put much thought towards shifting some of the Canadian asset base into the U.S. to help propel growth?
Rob Blackadar: Yes. I mean, we are all the time evaluating the best place to have the trucks, and the wonderful thing about Badger and our business as a whole, every asset has wheels and can move very rapidly. So, we can we can move assets any way we want to move the including across the border and we do from time to time. Maybe, Ian, a little bit more color, though, to make sure the perspective. And we have moved some assets - started to move some assets, a few assets from the Western part of Canada into the states earlier in the year. But a little bit of color on some of the Canadian revenue, is we had several large projects wrap up in Q2 and early into Q3. And there were some other additional large projects that were set to be starting in the back half of this year. And those projects have actually been pushed later in Q2 of 2024. And so, because of that, that's where you're starting to see some of the decline. But the markets in Canada, we're not ready to throw in the towel and move all of our assets at all periods. We're very, very comfortable. And obviously, this is our home market, where the executive offices and over in Calgary, and we're very, very happy with our business in Canada. Obviously, this transition between some of these large projects has the decline in the revenue for a short period here. Some of those projects that are going to be coming up that we're seeing are really some of these larger transit projects. And some of the projects that were slowing down were a little bit of pipeline project and some telecom projects, and we expect those to, again, pick back up here in mid to late Q2 of 2024. Rob, do you want to add anything on that?
Rob Dawson: Ian, I think if you just look to the back of our MD&A, we also show units split between Canada and the U.S. And you'd see since the end of '21, in Canada, we have the exact same number of units today as we had back then. So that's been steadily in effect, I think. There's still growth in Canada. Utilization is improving, obviously, but we are focused on the return on capital on those assets in Canada. And having them on wheels, of course, if there's excess unit anywhere, and there's lots of work somewhere else than that's what a centralized fleet function, is aim to do is really to optimize the utilization of the assets we currently have rather than adding too many assets in one region when it's not necessarily needed.
Ian Gillies: Okay. That's helpful. Second question from me with respect to truck builds and costs. It my memory serves me correctly, you guys have been relatively well inventoried on the chassis side, and you've been purchasing on a pretty regular basis. And I'm just curious on when you're looking at your suppliers on that cost front, if there's any material change in whether you're expecting, any material change in the truck build costs moving forward, because it's been pretty good year-to-date?
Rob Blackadar: Yes. So we actually - I think you're aware of this, but we historically have run - in the last several years have run Peterbilt chassis, owned by PACCAR and did that almost exclusively. And then we thought it probably more - to be a little bit more prudent and not have all of our eggs in one basket. We decided to actually go out to an RFP, RFQ for our chassis providers. And we've since added Western Star, which is owned by Daimler, out of Portland, and we started buying some Western Star. We have really good support. Obviously, we have roughly about 1,450 units that are Peterbilt, where one of their larger customers as far as parts, service, warranty, and we're going to continue to buy their chassis and especially as our company grows and we grow the need to grow -- to build more trucks. Peterbilt is a good partner and will continue to be. And Western Star is just a top-shelf brand, especially for heavy spec Class 8 trucks. And so, we're very - also very happy and proud to be partnering with them as well. We actually think its normal course, good business practice to have two suppliers. And it also allows us to not be dependent on the build slots for only one. And so, if one is unable to fill, and the other has them obviously, we're going to shift and shift the orders. Again, both the suppliers have really been good to work with, and we're very happy with both the suppliers today.
Ian Gillies: Okay. Thanks very much. I'll turn the call back over.
Rob Blackadar: All right, thanks Ian.
Operator: Please standby for the next question. The next question comes from Trevor Reynolds with Acumen. Your line is open.
Trevor Reynolds: Good morning, guys. I was just wondering if - and maybe I missed this going through the MD&A, but just wondering if you could comment on any disaster relief work that you got during the quarter? I know there's a couple of big storms down in the U.S. So, I'm just wondering if that was a major contributor in the quarter?
Rob Blackadar: Hi Trevor, this is Rob Blackadar. We actually had very little ER work this year. So, which is kind of interesting. In our world, it's actually been pretty quiet. We've - for the work that we do. There have been a few storms this year, but they haven't been to the level that, we've had in previous years. We have a very strong emergency response structure and group that, are basically kind of standby and not just for hurricanes or weather related. But also for any kind of emergency response, and it could be some kind of a major catastrophe in anywhere in North America. We have a group that's kind of always on standby, always with a bag packed, and we even have an emergency response kind of command center, which is really best-in-class investment that the previous CEO and team built. And we leverage this year, though, we just haven't had a lot of ER work. So - and very fortunately, the end markets are good. So, what you're seeing is truly from the end markets and not like a case from emergency response.
Rob Dawson: And on a comp basis, last year, there was a reasonable amount in that in there. We just haven't pointed it out in our materials. We're focused on the positives that are occurring today.
Trevor Reynolds: Great. And then maybe just with Canada sounding like it will be kind of flattish in the near term here. What's your kind of views on seasonality in Q4 and through maybe some of your usual slowdown quarters just given the high levels of demand that you're seeing from the end markets in the U.S.?
Rob Blackadar: Yes. We were chatting about that the last few days as a team, both the leadership team and the Board of Directors. We have been saying for the last couple of years, Trevor, that this concept of lifting the shoulders and throughout the shoulder seasons. And obviously, our Q4 is our second slowest quarter and Q1 is our slowest. And we - with the concept of lifting to shoulders, that doesn't mean we take out seasonality, but rather just lift it up. And we're starting to see that lift occurring even in today's business today is that -- those end markets, especially relating to U.S., they're really robust. Rob quoted in his opening remarks, what the lift on revenue was for the U.S. markets. And we continue to see that. And so like really good stuff there. Regarding Canada and even Northern U.S. markets, we're always going to have seasonality and some comments I shared with other investors and analysts on the - very regularly is that as long as we're in seasonal markets, we will have seasonality. Even no matter what the adoption rate is for hydrovac, or a nondestructive excavation, we will always have seasonality as long as we're going to be in seasonal markets. And it's our desire to be in all the major markets in North America. So obviously, Canada has probably some of the most seasonality we have in the business. But the guys in the field and the teams in the field, they're used to that seasonality. And so, they're prepared with their projects and customers, and they do everything they can to offset that seasonality.
Trevor Reynolds: Okay. Those are my questions. Thanks, guys.
Rob Blackadar: Thank you, Trevor.
Operator: I show no further questions at this time. I would now like to turn the call back to Robert Blackadar for closing remarks.
Rob Blackadar: Thank you, Michelle. On behalf of all of us at Badger, thanks to our customers, our employees, our suppliers and shareholders for your ongoing support that drives Badger's success. Operator, you may now end the call. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.